Operator: Ladies and gentlemen, thank you for standing by. I am Maria, your Chorus Call operator. Welcome, and thank you for joining the Turkcell's conference call and live webcast to present and discuss the Fourth Quarter and Full Year 2022 Financial Results Conference Call.  At this time, I would like to turn the conference over to Mr. Ali Serdar Yağcı, Investor Relations and Corporate Finance Director. Mr. Yağcı, you may now proceed.
Ali Serdar Yağcı: Thank you, Maria. Hello, everyone. Welcome to Turkcell's fourth quarter and full year 2022 results call. Today, our CEO, Mr. Murat Erkan; and acting CFO, Mr. Kamil Kalyon will deliver a brief presentation covering operational and financial results and afterwards we will be doing Q&A. Before we start, I would like to remind you of our safe harbor statement at the end of the presentation. Now handing over to Mr. Erkan.
Murat Erkan: Thank you, Serdar. Good morning and good afternoon, everyone. Thank you for joining us. We are devastated by the earthquake that struck Southeastern Turkey on February 6th. We offer heartfelt condolences to families of those who lost their lives at this catastrophic event. We trust in the solidity of the nation to overcome this massive tragedy. The past year presented many challenges and opportunities not only the Turkish economy, but also to the global. The war in Ukraine drove up food and energy prices. Also, elevated supply chain disruption further worsened pricing behavior across all markets. Easing inflation towards the year-end provides some relief to the markets, yet it will continue to impact this year's economic growth. In Turkey, inflation was a major concern during the year despite cooling off in the year-end. On the other hand, strong domestic demand and robust tourist inflow reaching pre-pandemic levels supported overall economic activity. As telcos, we saw continued mobile and fixed broadband demand, enabling us to make more frequent price adjustment to beat inflationary pressures. Our revenue growth continued to accelerate in Turkey, but mainly with the impact of Ukrainian operation, group top line growth in the fourth quarter was just over 57%, slightly above third quarter growth. This Q4 performance brought our 2022 revenue growth to 50%, enlarging subscriber base by 2.3 million, and accelerating ARPU growth were the main drivers of this performance. Solid demand for digital business and techfin services were also supported. Despite the heavy inflationary pressure on the cost base, our EBITDA grew by 46% to TRY22 billion, bringing the margin to 40.8%, implying just 1% contraction year-on-year, thanks to the disciplined cost management. At the bottom line level, we registered TRY11 billion net income, TRY4.6 billion of which comes as a net deferred tax income from revaluation of the asset. Even without the tax income, our bottom line continued to be strong, thanks to our solid operational performance as well as proactive financial management. With the strong EBITDA generation and successful working capital management, we generated TRY1.7 billion of free cash flow in the year despite a challenging macro environment. To the next slide. I would like to compare our full year results with the most recent guidance. On the revenue growth front, we were dedicated to timely price adjustment to protect our top line and profitability. Our diversified business model, which includes growth business based on digital services and techfin also continued to support the growth. Consequently and accelerating top line growth from 37% in the first quarter to 57% in the fourth quarter brought our full year 2022 growth to 50%, clearly above the guidance. Pricing discipline, coupled with the prudent OpEx management allowed us to deliver TRY22 billion EBITDA, exceeding our expectations. On the CapEx front, we managed to stick the plan and closed the year with around 20% CapEx to sales ratio. Next page. Let's take a look at our operational performance in mobile. During the year, the market grew on the back of increased population, tourist arrivals and demand from the corporate segment. With valuable customer focus and switching to postpaid plans, we gained net 1.9 million postpaid subscribers, marking the record of the past 13 years. As the leaders of mobile market, we made sequential price increase during the years in order to reflect the inflation. The market was most rational as operators followed our increases. However, it is worth noting that some year-end aggressiveness in the market and a lack in competitive pricing actions were also observed. This triggered some increase in the mobile portability market, which had contracted over the previous fourth quarter. Blended mobile ARPU growth ramped up to 56% year-on-year. The main reasons behind the acceleration were five consecutive pricing adjustment since December last year, continued upsell performance and a higher postpaid share reaching 68%. A slight increase in the mobile churn level compared to the same quarter of last year is mainly due to much higher tourism activity during the year, which brings in short-term mobile users. This churn level is in line with our expectation, and as prepared before, we are focused on timely price adjustment. All-in-all, in our flagship service, we continue to lead the market with higher ARPU growth levels, sustained pricing premium as high as 30% versus the competition. And most importantly, this was achieved whilst maintaining our leadership in net mobile subscriber addition. To the next slide. On the fixed business, this year, we reaped the financial expansion strategy in fiber outreach. With this effort, we gained a record net 234,000 fiber subscribers. Customer demand for high-speed packages was quite strong, with more than one-third of new subscribers preferring 100 megabits or higher packages. We made significant price adjustment to our fixed broadband services in November, following the long-awaited repricing of the incumbent. Coupled with this upset to higher-speed packages and increased IPTV penetration supported ARPU growth of 3% in Q4. On the IPTV side, we are pleased to see continued interest in our TV+ services with 200,000 yearly net additions. Of note, our IPTV platform continued to be the only player steadily increasing its share in the pay TV market in the past eight years. Given the accelerated expansion of our fiber footprint, our take-up rate decreased to 41%, yet remains well ahead of the competition. We believe that past two years, fiber rollout provides us with a strong outreach. Accordingly, we set our annual home base target to 300,000 for 2023. Our aim will be monetizing our strong base while setting new fiber home pass investment into the place in need. Next slide. And now a few words on our strategic focus areas. In the fourth quarter, the revenue of digital OTT service rose 71% year-on-year, driven mainly by price adjustment in TV, cloud storage and music streaming services, as well as 28% overall growth in the standalone paid user base. With its rich content and paid subscriber base of our TV streaming platform continues to grow at a speed of almost 20% year-on-year. Our cloud storage platform, lifebox, was instrumental in the growth of the paid user base, which reached 1.8 million paid subscribers on a solid rise of 38% year-on-year. We continue to monetize the digitalization trend in digital business services, where revenues were up 87% year-on-year. The growth drivers in particular were tailor-made end-to-end digital transformation projects, data center and cloud business services. Doubling year-on-year, the backlog from the system integration project totaled TRY2.8 billion, which is set to contribute to the top line over the upcoming quarters. Third is our techfin focus. Our techfin business had yet another strong quarter with revenues up 77% year-on-year. Paycell, Turkey's leading payment platform almost doubled its revenue year-on-year. The shift to digital payment prevails as evident in doubling transaction volume generated by 7.7 million active users. The Pay Later business remained the key driver of the growth with the user expansion of 20% year-on-year and a doubling transaction volume. POS solutions strongly supported to top line, as POS device tripled in the market along with the increased usage of virtual payment solution. With a focus of diversifying service across the fintech ecosystem, Paycell launched stock trading services on the New York stock, New York and NASDAQ Exchange. On the consumer financial side, Financell revenue rose 64% on a large loan portfolio, but still a 1% cost of risk. Next slide. Now let's take a look at our performance in the international markets. The revenue of Turkcell International segment grew by 41% year-on-year. Excluding the currency impact, organic growth was 13%. Despite the ongoing war in Ukraine, lifecell remain the key driver of the performance. Lifecell revenue grew by 8% yearly in local currency terms, mainly with an increasing ARPU driven by price adjustment and increasing data usage. Next slide. On February 6, two devastating earthquakes struck 11 cities in Southeastern Turkey, where around 14 million people reside. The earthquake caused huge destruction of five cities in particular, destroying thousands of buildings. As Turkcell, our first and foremost reaction was to ensure continuity of communication services as well as to help and protect our people and those affected in the region, which I will elaborate on in the next slide. Let me start with what the quake region means for us in terms of subscriber and infrastructure. We have around 6.5 million total subscribers in the region, representing 16% of our mobile subscriber base and 10% of each of our fixed broadband and IPTV subscriber base. These subscribers roughly generated 10% of our overall revenues in consolidated terms. However, I do have to underline that not all of these subscribers have faced same level of damage from the disaster. Next page. Now I would like to provide some information about the impact of the earthquakes on our business. We had 3,300 sites in the region. And in the first place, we lost around half of them mainly due to the power outage. With more than 1,200 personnel deployed, and we achieved more than 90% active site rate within four days. In the aftermath of disaster, we lost one tower and around 150 base stations. We have deployed mobile base stations to meet increased communication needs as well as electric generators and batteries to sustain seamless operation. Around 13% of our exclusive stores are in the region. Of those, 68% are still available. We continue to support our stores with the containers we placed in the region and digital channels are up and running for all types of services. We started to provide additional packages for subscriber, health care and emergency teams in the region. With the state of emergency announcement, we have provided one month free communication in the region. We also lifted additional fees such as for activation, cancellation or late payment. Based on our initial impact assessment, we estimate the revenue impact of around TRY1.5 billion and OpEx impact of around TYR400 million and a CapEx impact of around TRY900 million in 2023. Once again, these numbers reflect our early analysis using currently available information and are full incorporated to the guidance. We are continuously working on determining the full scale of the disaster with updated data. Further revisions will be shared in the upcoming quarters. To the next slide. I would like to end my part by sharing our guidance for 2023. Taking into account our plans for the year as well as the initial assessment of the earthquakes impact, we set our revenue growth target to 55% to 57%, EBITDA guidance to around TRY 34 billion and expect a CapEx intensity around 22%. I will now leave the floor to our acting CFO, Mr. Kamil Kalyon.
Kamil Kalyon: Thank you, Murat. Nice to meet you all. Now, let's take a closer look at the financial performance. In Q4, our group revenues reached TRY 16 billion, rising 57% year-on-year, and corresponding to an incremental TRY 5.9 billion. As we have underlined in the past, the gap between top line growth and inflation will be tightening if the downward trend in inflation continues. Of this increase, TRY 4.8 billion came from Turkcell Turkey, 62% top line growth. Growth came mainly from accelerated ARPU growth, thanks to the dedicated price adjustments and to the strong subscriber net addition performance throughout the year. Turkcell International revenues rose 41%, contributing TRY 526 million in Q4. Excluding the FX impact, the organic growth was 13%. Lifecell Ukraine continued its positive performance in this quarter two. Undertaking side, the contribution was TRY 253 million, where the main contributor was Paycell as its growth performance almost doubled. Traction in pay rate and cost solutions, accelerating revenue contribution thanks to higher transaction volumes were the major verticals of this performance. The other segment contribution of TRY 340 million was driven mainly by the rise in sales for all digital channels. Next slide, please. Now some highlights on EBITDA development. In the fourth quarter, group EBITDA was 58% year-on-year to TRY 6.7 billion, driven by a strong top line performance as well as pivotal cost management. Despite the increases in radio and employee expenses due to higher energy prices and two rate adjustments in 2022, our EBITDA margin improved by 30 basis points in Q4. This was thanks to lower growth of interconnection expenses and cost of goods sold. It's also worth mentioning that Turkcell International EBITDA margin improved by 2.1% on an annual basis. The main reason for this performance put a lower increase in interconnection costs that more than compensated higher sales and marketing expenses. Next slide, please. Now some highlights on net income development in Q4. Our net income more than year-on-year, mainly due to strong operational performance and positive impact of deferred tax income relating to revaluation of certain assets. The deferred tax income impact on the quarterly net income was TRY 4.1 billion. As you may recall, following the sharp appreciation of TRY, we reported higher net FX loss in the last quarter of 2021 as the trace levels of some of our hedges were exceeded. Compared with that, this quarter FX gain had a positive contribution on the bottom line. Next slide, please. Now more detail on our free cash flow generation. As mentioned before, we generated TRY 6.7 billion of EBITDA in the last quarter of 2022. Increased trade receivables, including financial services work, in line with the revenue and loan portfolio increases. Thus, we managed to keep the average collection period flat despite the periodic economic challenge. Higher trade was due to seasonality as well as support from advanced payments realized in the past quarters led to a positive change in the working capital. Also, due to higher CapEx in Q4 because of seasonality, the acquisition of tangible and intangible assets of TRY 5.7 billion in total negatively affected free cash flow generation. All-in-all, we managed to generate around TRY 1 billion free cash flow in Q4. Next slide, please. Let's take a closer look at our CapEx management. 2022 was the year we needed to be more disciplined and focused on our investment plans. We completed the year having successfully managed the CapEx in line with our plans. Given the prospect of continued demand, we focused on expanding our fiber rollout and delivering it to more homes. In accordance with this, we added 887,000 new home paces to our portfolio, slightly above our target. Due to seasonality, our operational CapEx to sales ratio rose to 28% in Q4, bringing the full year ratio to slightly above 20%, in line with the guidance. Of note, mobile CapEx intensity was below 10%. On the fiber side, CapEx intensity reached 49% for the year. We aim to monetize the investments made over the past two years and will slow down in fiber rollout this year. Lastly, we continued to add new modules in our anchor and get data centers responding to the increasing demand. This explains the increase in other segments of the CapEx. Next slide, please. Now I would like to talk about our balance sheet and leverage details. At the year-end, our cash position rose to TRY 26 billion, and the gross debt position climbed to TRY 54 billion. Currency movements led to an increase in this figure of TRY 1.1 billion and TRY 2 billion, respectively. Accordingly, group net debt slightly increased to TRY 21 billion, of which with a strong EBITDA generation, leverage ratio decreased to 0.9 times, excluding the finance business, the figure was at 0.8 times. The majority of our cash remains in hard currencies, excluding FX swaps, 51% of our cash is in US dollar and 15% in Euros. This cash is sufficient to cover our debt service until 2025. Next slide, please. Lastly, I will go into management of foreign currency risk. At the end of Q4, we had around US$1.9 billion equivalent of FX debt. As initial hedge, we had US$1.3 billion equivalent of FX denominated cash. Additionally, we had around US$600 million derivative portfolio comprising of cross-currency swaps and proxy hedge. Please recall that, these figures includes the ineffective portion of our participating cost-save swaps as well. Throughout the year, we improved our net FX position to a more neutral level, ending up the year with a net short FX position of just US$25 million. Going forward, we aim to keep our net FX position between plus and minus US$200 million. This concludes our presentation, and we can now open the line for questions. Thank you.
Operator: The first question is from the line of Mandaci Ece with Unlu Securities. Please go ahead.
Mandaci Ece: Hi. Thanks so much for the presentation. I have a couple of questions. The first one is about your revenue. You have mentioned that the effect of the earthquake -- in the earthquake was included in your guidance. So with that effect, how should we think about the ARPU growth separately for mobile and fixed side and for subscriber additions? Because after a very high base, I mean, could you please elaborate more on your estimates? This is my first question. And secondly, I think you are keeping your EBITDA margin almost at a similar level in your guidance or you're expecting a very small margin deterioration. So what's the APRU for that? Is it due to continued price adjustments in the market? That's my second question. And thirdly, I haven't seen your IFRS financials. Will you report them also tonight? Is there a major difference in the net income level? And finally, is there -- will there be an announcement about your dividends tonight? Thank you very much.
Murat Erkan: Okay. Thank you, Ece. First of all, we include earthquake effect and impact in our guidance. So regarding ARPU growth, mobile and fiber side, we will continue to inflation in the pricing. So based on inflation, we're going to follow the price increase. So ARPU growth, I think it should follow maybe a little bit higher to inflation. So in the net add side, obviously, this is not easy to comment on the net add. So we'll see what we can do. But regarding net add, our expectation will continue to increase number of subscribers as our plan, like adding another million or so. So we're going to focus on increased pricing and price adjustment during 2023 as well. Regarding EBITDA side, on full year EBITDA margin was 40.8% in 2022, just 1% below the last year. So, main reason behind the contraction was increasing energy and personnel costs. It was sort of offset by improved cost of goods solds, as part of sales and interconnection costs. This year, we expect rather flattish margin as implied by our revenue and EBITDA guidance, and price increase will take place. Inflationary cost pressure will continue. But as always, our prudent OpEx management, coupled with strong top line will help us to maintain similar margin level. Regarding IFRS, I think Kamil can take the question, and then I'll continue.
Kamil Kalyon: Thank you, Ece. Our IFS financials are on the process of preparation. Most probably, we will be declaring IFS financial statements and financials on April, the 20-F report.
Murat Erkan: Regarding dividend and dividend policy, yes, first of all, I would like to remind that our dividend distribution policy stays there as it is. As you know, a dividend proposal is initially made by the Board, and it is voted by the shareholders at the AGM. That has not been a proposal made by the Board yet for this year. If you recall from last year, our Board proposal came out with the AGM announcement. It was on the same day. So I wouldn't like to speculate on the Board potential proposal.
Mandaci Ece: Thank you very much. Could you please also share your inflation forecast? Thank you very much.
Murat Erkan: I'm not the economist. So our forecast will be around probably 40% level.
Mandaci Ece: Okay.
Operator: The next question is from the line of Annenkov Evgeny with Bank of America. Please go ahead.
Annenkov Evgeny: Hi. Good evening. Thank you so much for the presentation, and opportunity to ask questions. I have two, please. Can you please give some color on to potentially one-off items you might have this year? First of all, on TRY 3.5 billion contribution to the Turkey One Heart campaign is it included on EBITDA guidance partly? Do you expect to contribute everything in cash? Any color on this would be helpful. And the second one, on the renewal of spectrum in 900 megahertz, any color on potential price you can give? Thank you.
Murat Erkan: Thank you, Evgeny. First of all, our donation is under the EBITDA, so it's not going to impact our EBITDA guidance. And regarding renewal of 900 megahertz, I mean, obviously, there are very limited time in front of us for the renewal. But I know that the Ministry and Regulation Authority working on this one, so I expect to announce this potential price soon. So I don't want to speculate it, because I hope it's going to be less than what we speculate, I think. So I don't want to speculate the price, but I believe it's going to be soon to be announced.
Annenkov Evgeny: Thank you so much. But obviously, these are the two items that would impact your dividend recommendation as well. So you should have – you should keep it in mind these cash outflows
Murat Erkan: Definitely. We are putting in the picture, these two things.
Annenkov Evgeny: Thank you so much.
Operator: Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to Turkcell management for any closing comments. Thank you.
Ali Serdar Yağcı: Thank you very much. Hope to see you in the next quarter.
Murat Erkan: Thank you. Thank you, all.
Kamil Kalyon: Thank you very much.